Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in al listen-only mode. After the speakers presentation, there will be a question and answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker for today, Richard Lloyd. Please go ahead. The floor is yours.
Richard Lloyd: Good morning to everyone, and welcome to InterDigital's fourth quarter 2022 earnings conference call. I am Richard Lloyd, Communications Director. And with me in today's call are Liren Chen, our President and CEO; and Rich Brezski, our CFO. Consistent with last quarter's call, we will offer some highlights about the quarter and the company and then open the call up for questions. Before we begin our remarks, I need to remind you that in this call, we will make forward-looking statements regarding our current beliefs, plans and expectations which are not guarantees of future performance and are made only as of the date hereof. Forward-looking statements are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those described in the Risk Factors sections of our 2022 Annual Report on Form 10-K and in our other SEC filings. In addition, today's presentation may contain references to non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our financial metrics tracker, which is available on the Investor Relations section of our website. With that taken care of, I will turn the call over to Liren.
Liren Chen: Thank you, Richard, and good morning, everyone. Thank you for joining us today. 2022 was an excellent year for InterDigital with continued success in our core smartphone licensing program and record-setting performance in our CE and IoT, including Auto licensing programs. We increased recurring revenue to a record level, significantly increased our net income year-over-year, and we believe put the company in its strongest position ever to deliver future business growth. I will first discuss our fourth quarter performance, then I will provide some more highlights in our key achievement in 2022 and some thoughts, our positioning in 2023 and beyond. In the fourth quarter, despite of ongoing macroeconomic headwinds, we continue to execute exceptionally well in our goals across the business. Revenue for the fourth quarter was up to $117 million, a 5% increase year-over-year, while net income jumped by 48% year-over-year to $32 million, thanks to new licensing deals and continuing disciplined management of operating expenses. We once again demonstrated our strength in our smartphone core with a binding arbitration agreement with Samsung for a new license. We grew our revenue from consumer electronic licenses by renewing our deals with Panasonic and announcing a new deal with LG, and shortly after the year-end, we announced a large expansion of our share buyback program. Our Samsung arbitration, as we have previously disclosed, both parties have agreed that the new license will start January 1 of 2023. We will continue to negotiate for a period of time before letting the arbitrator decide on issues we cannot agree on. This is a binding process for both parties that will lead to a new license, and we estimate the whole process will conclude around the middle of 2024. Rich will cover the topic of revenue recognition in his section. I want to remind everyone that Samsung has been licensed to our patents for more than a quarter of a century, and their commitment to another deal reflects how foundational our industry means to the mobile industry. Together with the renewal of our Apple deal in the third quarter, our agreement with Samsung is further evidence of our position as 1 of the leading innovators and a top license source in the smartphone industry. I'm pleased that Samsung has recognized the quality of innovation, and our relationship with them will continue. In the fourth quarter, we also built our increasing momentum for licensing in the spaces of CE and IoT, including Auto. Our agreement with LG include both televisions and PCs and licenses LG to our patents related to HEVC and VVC, the latest video compression technologies, where we believe we are a world leader and where we see further licensing opportunities. Like Samsung, Panasonic is a long-term licensee and our new agreements with the company, along with our new deals with LG, underlines the growth strength of our CE licensing program. Coming into 2022, we knew it was going to be a pivotal year for our company. We are thrilled that as a company, we have risen to the challenges, with continued headline smartphone agreement led by a new Apple deal with an incredible strong 12 months for our licensing program outside the smartphone space. We not only welcome LG as a new HEVC and VVC licensee, but also entered into a multiyear license with Amazon, covering a wide range of Amazon's consumer electronic devices and their InterDigital's patterns. We also saw considerable growth in the automobile market through our licensing partner, with more than 80% of the connected cars currently licensed to our 3G/4G portfolio. Annual revenue from CE and IoT, including Auto, reached more than $100 million for the first time, with recurring revenue increased 63% year-over-year. That helped push total revenue to $458 million for the year, an increase of 8% from 2021, including almost $404 million recurring revenue, a record setting level, up by 15% year-over-year. This continues our recent trend of delivering consistent increases to our top line. As I mentioned in our last call, our recent licensing successes mean that we have signed more than 20 new agreements and renewals with an aggregate contract value of over $1.5 billion since early 2021. This gives us an incredible strong platform for which to drive further growth and continue to invest in our innovation footprint. At our heart, we are innovation business. I'm extremely excited by the role that we are playing in the evolution of technology in cellular, video, AI and beyond, technology that only become more central to consumers and businesses around the world. The emphasis we place on innovation is clear in the pipeline of new inventions with our new -- with our number of invention disclosures increasing by more than 40% in 2022. Last year, we also made a key hire to our executive team with the appointment of Dr. Rajesh Pankaj as our new Chief Technology Officer. Since he joined, Rajesh has hit the ground running, and his expertise and leadership are proving invaluable as we play a key role in the development of next-generation connected ecosystems. Shortly after quarter end, we received further validation of our position as well towards leading innovators, as we were included for the second consecutive year in LexisNexis Innovation Momentum, the Global 100 Report. This report recognized not only our impact on innovation today, but also the likely impact of our innovation in the longer term. On the litigation front, we have recently win three decisions since the start of the year from courts in U.K. in our dispute with Lenovo. On each decision, our patent was held to be valid and essential to various cellular standards and infringed by Lenovo. We are very pleased with these results. These decisions serve as further confirmation of the quality of our patenting innovations that many of the leading device manufacturers have chosen to license. We are still waiting for the U.K. court's decision in our friend licensing trial, and we remain confident in the strength of our case. So as we celebrate our 50th year as a leader in developing connected technologies, I'm delighted that 2022 was one of the most productive and successful years in our history.  Looking ahead in 2023 and beyond, we believe we are well positioned to deliver additional smartphone deals, increased revenue in consumer electronics, close new agreement in the high-growth IoT, including Auto sectors, and make progress in our new licensing opportunities in services. From our innovation pipeline to our business momentums to our financial strength, we believe the company is the strongest position it has ever been in and we are perfectly placed to continue to deliver our compelling growth story. And with that, I hand you over to Rich to talk through our numbers in more detail.
Rich Brezski: Thanks, Liren. Our strong execution throughout 2022 delivered excellent financial results, but more importantly, puts us in what we believe is the strongest position the company has ever been in. Our final results for Q4 came in above our preliminary estimates, which we published last month. The improvement was driven by favorable order reports we received in the intervening period as well as a slightly lower effective tax rate for the year. Building on Liren's comments, I'll highlight a few noteworthy items from our full year 2022 results. In 2022, we reported over $400 million of recurring revenue, a record for InterDigital. In fact, including the fourth quarter of 2021, we have now reported recurring revenue in excess of $100 million in 4 of our last 5 quarters. For our entire history prior to that period, we only had 2 such quarters. Our 2022 revenue included $104 million of CE, IoT, including Auto revenue. This is more than 4x our CE and IoT, including Auto revenue, from 2020 and demonstrates our ability to grow revenue by capitalizing on the value our fundamental horizontal technologies bring to markets other than smartphones. After initiating proactive cost management measures in 2021, we realized the related benefits in 2022. Our operating expenses decreased by $47 million year-over-year, including a $25 million reduction in restructuring charges. Our 2022 adjusted EBITDA was $254 million worth $8.35 per share, and our adjusted EBITDA margin was a healthy 56%, a 7-point improvement from 49% in 2021. We ended the year with a $1.2 billion cash balance and $600 million of net cash. In 2022, we returned over $115 million to shareholders through dividends and share buybacks, and we currently have authorization to repurchase another $400 million. With all that we accomplished in 2022, the most important thing is that we have laid a strong foundation for future growth. With Apple renewed through 2029 and Samsung in binding arbitration, our first quarter guidance includes revenue from both accounts. In the case of Samsung, we are recording revenue at a conservative level, consistent with the revenue we have recognized from our patent license agreement that just expired on December 31, 2022. This conservatism is consistent with generally accepted accounting principles and reflects the fact that the binding arbitration with Samsung will define a patent license agreement that is effective beginning January 1, 2023. We believe it is likely that the arbitration award will exceed the conservative revenue we are recognizing and require a catch-up at that time. As a reminder, we expect to receive the arbitration award around mid-2024. Moving on to cash. Our year-end cash balance was driven by $345 million of free cash flow in Q4, as we collected more than $400 million of customer receipts in the quarter. A significant portion of this relates to a large, upfront payments associated with the patent license agreement signed earlier in 2022. The strong free cash flow has a very real impact on our year-end balance sheet. With Apple signed and Samsung in arbitration, we are well positioned to continue our company's strong history of returning cash to our shareholders. As a result, we increased our share repurchase authorization to a total of $400 million and subsequently launched a $200 million modified Dutch tender. Since we announced our first dividend in December 2010, we have returned nearly $1.4 billion to shareholders through buybacks and dividends. In that time, we've reduced our outstanding share count for more than 45 million to fewer than 30 million shares. At current prices, our $400 million authorization would further reduce our share count below 25 million shares. With lots of opportunity to drive our cash flow even higher, capital allocation, and specifically returning cash to shareholders, will continue to be among the foremost topics for the management team and our Board. With that, I'll turn it back to Richard.
Richard Lloyd: Thank you, Rich and Liren. Operator, you can now open the call for questions.
Operator: [Operator Instructions] First question is going to come from Scott Searle of ROTH. Your line is open.
Scott Searle: Nice job on the quarter. Liren, I'm not sure if I missed it, and Rich. But did you give an update in terms of the Dutch -- modified Dutch auction process in terms of where we are? And then on the Samsung arbitration, you're including a component for that. I thought you said something related to past performance. But it looks like if I kind of back into the recurring guidance that you're taking a conservative view, maybe down about by 1/3 kind of take the midpoint of the range of where prior Samsung contribution had been. Is that in the right ballpark, and am I thinking about it the right way and why? I know you're approaching from a conservative standpoint, but is there any particular reason that you're settling on that number?
Rich Brezski: Yes. So Scott, first on the Dutch tender, the most recent update there was we updated the price range a little over a week ago but maintained the original time frame. With respect to Samsung, my comments there were that we're recognizing revenue at a level consistent with the agreement that just expired December of last year. So when you look at our -- if you're looking at Q4 revenue on a recurring basis, for instance, and then fast forward to Q1, you'll note in the 10-K, we always describe both current year expirations and upcoming expirations. So there is about $15 million related to agreements that expired at the end of '22 that we haven't yet renewed. Of course, the big news for '22 in terms of expirations was Apple and Samsung, and you're clear on where that is so.
Scott Searle: But just to clarify, Rich, though. So are you assuming in the guidance of recurring revenue of $94 million to $98 million, $19-plus million from Samsung? Or is there a number lesser than that?
Rich Brezski: Yes. It's a little consistent with what we recognized up through December '22.
Scott Searle: And then Liren, you indicated you thought you look into 2023 that you're comfortable that you're continuing to progress with more progress on the smartphone front. Specifically, I guess that leaves kind of a couple of OEMs out there. Lenovo, who you're actively engaged with, I'm not sure what the time line is if there's an updated time line related to the FRAND litigation. And then as it relates to Oppo and Vivo as the two other big outstanding parties, how is the dialogue and active engagement going on this front, particularly given the geopolitical environment out there? Is that impacting it at all? And then I have one last question.
Liren Chen: Yes. Scott, this is Liren. So on the Lenovo, as I updated in my prepared script here, we have recently got three very good patent wins. We are still waiting for the brand decision. That hearing finished last year, early last year. So on Oppo and Vivo, as you are aware from our prior calls, we will -- we are in litigation with them, which we filed a series of patent cases against them in December of 2021, and some of the cases are close to going to trial. And in the meantime, we are maintaining active ongoing negotiation with them, and so is the case for Vivo. Regarding your comments on geopolitical situation between U.S. and China, we are obviously very closely watching the situation and -- but it's always worthwhile. Thinking through the main licensees, we are trying to sign up for their global players. And almost all of them, the one we are talking about here has significant sales outside China. Our technology is global, our licensing program is global. Frankly, on the rare occasions when we have to enforce our patent rights, it's also a global enforcement campaign. So that's consistent with our approach.
Scott Searle: And lastly, if I could. On the services front, you indicated an opportunity for there. I think video fits into that category. I'm wondering if there are any updates on that front in terms of how you're thinking, how the market is developing? And you also mentioned Amazon now as a customer as well. Is that device specific, the relationship with Amazon? Or is that something that's going on from a video and services standpoint?
Liren Chen: Yes, we are, as a company, very, very positive on the opportunity about video. If you look at the overall macro trend for how consumers, how companies are using online services, cloud-driven services for entertainment, productivity, remote learning, and there's many, many use cases that are driven by connectivity as well as video use case. So we are very excited about the opportunity. It's -- I think it's very clear that our foundational innovation are being used and the service providers are benefiting from our technology, so we are working very actively on this space. And -- but as we commented before, launching a new licensing program, frankly, new different vertical, takes time to develop the revenue, and we will put a lot of effort to keep on growing that opportunity. Regarding the Amazon deal, as I commented in my prepared remarks, the Amazon deal is covering a wide range of consumer electronic devices, so the service is further opportunity.
Operator: [Operator Instructions] And our next question is coming from Jonathan Eisenson of Bank of America.
Jonathan Eisenson: Great job this quarter. Just one question for me. Handset recurring revenues were down on a year-over-year basis in 4Q. Just curious if you could just talk to that?
Rich Brezski: Yes. So Jonathan, we talked about -- on our renewal with Apple, that was an increase when you look at it compared to the last deal. We did have some elevated revenue recognition in the final year of that Apple agreement, so that was a contributing factor.
Jonathan Eisenson: And then on recurring revenues, on the guidance for 1Q, I know it was asked about already, but I just kind of wanted to double click on it. So it's expected to decline roughly 3% year-over-year, and I understand the Samsung contribution is relatively conservative. But are there any other drivers, and kind of how we should think about that in terms of just recurring revenues in general being down on a year-over-year basis in 1Q?
Rich Brezski: Yes. So I'll kind of fall back on the comment I made before that, and again, you'll see this in the 10-K. When we talk about expirations, there's about $15 million related to agreements that expired. That we recognized in '22, for which those agreements expired by the end of '22. So that's a driver when you look Q4 versus Q1 of '23. So of course, there's a lot of opportunity for new licenses as well as to renew those.
Jonathan Eisenson: And then my last question is actually on the pre-announcement ahead of this quarter. Just curious on kind of what the drivers were there and what you saw kind of develop throughout the quarter, if that was from new agreements reached or just better terms that -- than were expected previously?
Rich Brezski: Yes. So what happened -- if I understand your question, Jonathan, you're referring to how did the final results come in relative to the preliminary results that we issued the end of January. And the favorable difference is driven by royalty reports that we received in the intervening period. So although it's a smaller portion of our total revenue, there is roughly 10% that is based on variable. And therefore, the revenue recognition ultimately is decided by what the report says, how much they owe us for the quarter. Prior to, if we don't have those reports, we have to estimate that. And it just so happens, the timing for the Q4 reports, a lot of them came in, in that intervening period.
Jonathan Eisenson: And then my last question. I know this is also asked about, but there's no further update on the Dutch auction beyond the recent increase in price range, correct?
Rich Brezski: That's correct.
Operator: [Operator Instructions] Our next question is coming from Anja Soderstrom of Sidoti. Your line is open.
Anja Soderstrom: A lot of them have been addressed already, but I thought I would triple click into this first quarter recurring revenue guidance. I understand it's due to the Samsung negotiations, but is that -- that's mainly for the handhelds, right, and the smartphone? And the consumer electronics, we should see pretty steady performance in?
Rich Brezski: Yes. So the revenue, when I talk about recognizing revenue for Samsung while we're in this arbitration, that what we're saying is that we're in an arbitration that's going to result in an agreement. That agreement becomes effective January 1, 2023, so we're estimating at a conservative level that we keep it consistent with the agreement that just expired. As far as the decline, Q4 to Q1 guidance, that's driven by an expiration of 5 agreements and $15 million as we disclosed in the Q. But we didn't break out beyond that smartphone versus CE IoT/Auto. We'll obviously provide more details as we move forward in time.
Operator: [Operator Instructions] And our next question is coming from Alessandra Vecchi of William Blair. Your line is open.
Alessandra Vecchi: Congratulations on the quarter. One housekeeping for me just in terms of how to think of litigation expense. You talked about the 5 licenses that expired in 2022. It looks like you have a larger chunk potentially expiring in 2023. According to the case, it seems like it's $55 million. How do we think about potential litigation around those, coupled with Samsung arbitration impacting litigation expense in the year?
Liren Chen: Let me take the first half of the question, and then I'll let Rich comment on some of the expense side here. So on the $55 million that you are referring to, the largest one is Huawei, as we disclosed. We are currently in active negotiations with Huawei as well as the -- another brand, which is called Honor, that was a spin-off from Huawei from the last time we have negotiated contracts. So we are negotiating with both of them. It's difficult for me to comment on, frankly, going forward, what the litigation will look like. But what I want to emphasize on is we, as a company, always prefer to conclude license agreements or bilateral negotiations, and most of the time we do. So on the rare occasion we have to enforce either through litigation or binding arbitration, we make those decisions very carefully.
Rich Brezski: Yes. I'll just add to a perspective. While the number is $15 million as you go from '22 to '23, the same number for the same set of those that were scheduled to expire in '22 as we came into the year was closer to $200 million, right? So because Apple and Samsung were either renewed through a license agreement or through the arbitration agreement with Samsung, they're at least at a conservative level included in our Q1 guidance.
Alessandra Vecchi: And then, Rich, just actually one follow-up on the OpEx. It looks like you changed some of the categorization buckets a little bit. Can you shed a little light on kind of what's changed now in the research and portfolio development, and with licensing broken out?
Rich Brezski: Sure, I'd be happy to. Yes, it's -- we're always looking at what we can do better in making sure that we're evolving our disclosures and presentations as the company evolves. You saw that in Q3 when we changed our description of revenue. For a long time, we had -- it was more important to break out fixed fee versus variable. But as I alluded to earlier, we've been at 10% give or take on the variable side. And it became more important as CE and IoT, including Auto, was growing to break out those line items. So along the same vein, when we look at the operating expenses and think about the business, we think about the investment in research, in the horizontal technologies that we invest and innovate in, and how closely that ties to protecting our rights associated with them. Whereas the act of monetizing, licensing, enforcing, et cetera, is probably -- they're all related. They're all connected, but we thought that this was a better presentation that reflects the direct link between the research and the portfolio development.
Operator: Thank you. This concludes today's Q&A session. I would like to turn the call over to Richard for closing remarks.
Richard Lloyd: Thank you, operator. I will just hand it on to Liren for closing remarks.
Liren Chen: Thank you, Richard. Before we close, I'd like to thank all our employees for their dedication and contributions to InterDigital, as well as our many partners and licensees, and thank you all for attending the call today. I look forward to connecting with many of you in the coming months.
Operator: This concludes today's conference call. Thank you all for joining us, and enjoy the rest of your day.